Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to Encana Corporation's Third Quarter 2013 Results Conference Call. As a reminder, today's call is being recorded. (Operator Instructions) For members of the media attending in a listen-only mode today, you may quote statements made by any of the Encana representatives. However, members of the media who wish to quote others who are speaking on this call today, we advise you to contact those individuals directly to obtain their consent. Please be advised that this conference call may not be recorded or rebroadcast without the expressed consent of Encana Corporation. I would now like to turn the conference call over to Mr. Ryder McRitchie, Vice President of Investor Relations and Communications. Please go ahead, Mr. McRitchie.
Ryder McRitchie: Thank you, operator, and welcome everyone to our discussion of Encana third quarter results for 2013. Before we get started, I must refer you to the advisory regarding forward-looking statements contained in the news release, as well as the advisory on Page 39 of Encana's Annual Information Form dated February 21, 2013, the latter of which is available on SEDAR. In particular, I would like to draw your attention to the material factors and assumptions in those advisories. Encana reports its financial results in U.S. dollars and U.S. protocol. Accordingly, any reference to dollars, reserves, resources or production information in this call will be in U.S. dollars and after royalties, unless otherwise noted. Assuming you've all read our news release, we will keep our prepared remarks brief and to the point in order to allow more time for questions. And the focus of our prepared remarks this morning will be on the third quarter results and progress compared to our 2013 guidance. We will begin with Doug Suttles, Encana's President and CEO, who will discuss the company's third quarter highlights and our strategy development process. Then Sherri Brillon, our Chief Financial Officer, will then discuss our third quarter financial results. And Mike McAllister, our designated Chief Operating Officer will then provide an overview of some operational highlights from the quarter. We will then go question and answer period and you enroll and close after that. I will now turn the call over to Doug Suttles, Encana's President and CEO.
Doug Suttles: Thanks, Ryder. And I would like to thank you everyone for joining us on the call today. We delivered a strong set of results in 3Q as the benefits of focusing on liquids production growth, cost savings and capital efficiency efforts are beginning to show through. Highlights for the quarter include very strong liquids growth compared to the same quarter in 2012, encouraging results from cost savings efforts and encouraging results from capital efficiency efforts. And lower capital spending as we concentrate our capital on our most valuable opportunities and pull through those capital efficiency improvements. Financially, this results in stronger cash flow and a stronger year-end cash balance forecast. Our strategy work is progressing very well and we’re on track to announce the strategy and ensure 2014 plans are built around the new strategy before year end. During 3Q, we announced our new organization design and our new senior management team. These changes will position us to be more efficient, focused, and a responsive organization. We will be announcing our 4Q dividend as part of our strategy rollout a little later in the year. Before handing over to Sherri and Mike to provide additional detail on the third quarter, I’d like to recognize the efforts and results from the Encana team. Over the course of the summer and early fall, they dealt with two record floods in and around our operations in both Alberta and Colorado. Their efforts minimized the environmental and business impacts from these very significant events. As an example, we had no recordable spills and very minimal production impact from the massive flooding in the DJ Basin here in Colorado. As a company, we’re in the midst of significant change, which will result in us being a stronger and more successful company. Through the uncertainty, the team is delivering very good safety and operational performance, and I want to thank them for their efforts. I’ll now turn the call over to Sherri and Mike who will provide more detail on the third quarter.
Sherri Brillon: Thanks, Doug, and good morning everyone. During the third quarter, Encana generated cash flow of $660 million or $0.89 per share and operating earnings of $150 million or $0.20 per share. Year-to-date, cash flow totaled about $1.9 billion or $2.58 per share with operating earnings totaling $576 million or $0.78 per share. Natural gas production in the third quarter averaged about 2.7 billion cubic per day. Oil production averaged about 27,000 barrels a day, and NGL production averaged about 31,000 barrels per day. Combined liquids production of about 58,000 barrels per day represents a 92% increase over third quarter 2012 volumes. For the nine months ended September 30, natural gas production averaged 2.8 billion cubic per day, oil production averaged about 23,000 barrels per day, and NGL production averaged about 26,000 barrels per day. We expect to deliver on our 2013 guidance and as the news release state we’ve updated our guidance to reflect tighter ranges as we enter the last quarter of the year. I encourage you to review the guidance document that is posted on our website at www.encana.com. In general, we expect our capital spending to come in lower than originally planned at about $2.7 billion to $2.9 billion versus our original guidance of $3 billion to $3.2 billion. The decrease in capital is a result of focusing our capital on our best opportunities and efficiency improvements across many of our drilling programs. In particular, we’ve experienced significant economies of scale, process improvements, and efficiency gains associated with completions. Our teams have demonstrated enhanced scrutiny on capital allocation and increased focus on capital discipline. Our guidance for liquid volumes remains intact; however, we now expect natural gas production to average between 2.7 billion to 2.8 billion cubic feet per day, which is slightly lower than our original guidance range of 2.8 billion to 3 billion cubic feet per day. This reduction is primarily due to delays in bringing on the Deep Panuke offshore natural gas project and due to impact of asset sales executed over the course of the year including our Jean Marie natural gas assets which were sold during the second quarter. These impacts are expected to be partially offset by better than expected performance from our base assets. We’ve also tightened the range on our expected 2013 cash flow to $2.4 billion to $2.5 billion from our previous guidance range of $2.3 billion to $2.5 billion. Our cash flow guidance was not adversely impacted by the reduction in natural gas volumes expected for the year largely because now we expect a higher full-year current tax recovery of approximately $140 million. Encana’s risk management program has also contributed to our ability to meet our cash flow guidance, and on the cost side, our total operating expenses are expected to be lower than originally forecast due to our savings initiative and the reduction in expected natural gas volumes. On a per unit basis, the volume reduction is expected to offset the dollar savings. Our original 2013 guidance for transportation and processing costs of $1.25 per Mcfe remains intact. As expected, our transportation and processing expenses increased by about $70 million compared to the third quarter of 2012. The higher costs are driven primarily by three factors. First, higher costs associated with recovering liquids which increases NGL production and generates higher revenues offsetting the increasing cost; second, the initiation of production from Deep Panuke increased our costs; and third, we’re seeing an increase in cost associated with the fees associated with the midstream assets sold last year. With respect to the balance sheet, Encana has maintained its strong liquidity position during the quarter, but the period-end balance of about $3.3 billion in cash and cash equivalents. On October 15, we repaid from cash a $500 million, 4.75% note maturity. We still expect to end the year with cash and cash equivalents in excess of $2 billion, which will enable us to maintain our financial flexibility as we head into 2014. Year-to-date, Encana has made significant progress in lowering our costs, improving efficiencies, and strengthening our cash flow. Earlier in the year, we set a target to achieve cost savings and capital efficiency gains of $100 million to $150 million that we expected to achieve over an 18-month period. As of the third quarter, we’ve realized approximately $85 million, a sustainable saving compared to our original budget. For the year, we’re expecting to achieve about $110 million in sustainable savings. A large portion of the savings is a result of capital reductions primarily associated with increased efficiency in our completion activity. As an example, in our Peace River Arch Resource Play, the direct sourcing in materials and completion efficiencies has led to about a 30% reduction in capital per stimulation versus our original 2013 budget for the play. We also expect to achieve savings in direct operating expenses as well as corporate costs from reductions in memberships, manpower, IT, travel, and consultants. We’ve made excellent progress against our cost reduction goal relative to our original budget for 2013, and we expect to achieve further savings over the balance of the year and into 2014. Overall, the quarter enfolded as expected and we remain well positioned to finish the year strong relative to our original guidance. I’ll now turn the call over to Mike McAllister.
Michael G. McAllister: Thanks, Sherri. As Sherri mentioned, there was a small reduction to our natural gas production guidance primarily due to asset sales and a slower than planned ramp up at the Deep Panuke Offshore Nature Gas Project, which I’m happy to say came on stream on August 11. Production from Deep Panuke continues to be ramped up through the platform operated by SBM with current natural gas sales at 175 million to 200 million cubic feet per day. We now expect Panuke to contribute at 2013 annualized production rate at about 40 million to 50 million cubic feet per day. During the third quarter we saw some very encouraging results in several plays across our portfolio. In the Duvernay, our 805 well continues to exceed expectations producing at a rate of 350 barrels per day condensate and 2 million cubic feet per day of natural gas after more than a 160 days. To-date the well has produced over 100,000 barrels of field condensate and 400 million cubic feet of natural gas. I’d also like to announce that we recently completed the 931 well in the same and at Duvernay and about one week into fallback operations, well is still cleaning up, but we’re seeing very strong well performance with the initial rate somewhere those of 805. The well is currently producing about 4.5 million cubic feet of natural gas per day and over 1,100 barrels per day of lease condensate. In Gordondale, we saw our two most recent oil wells come on stream at approximately 1,100 barrels per day each. This play continues to exceed our expectations as 2, 7 well pads each capable of producing between 4,000 to 5,000 barrels per day of oil are expected to be brought online in the fourth quarter. Encana also achieved strong results in our Bighorn area, during the third quarter with three wells in the Falher F/Wilrich formation testing at rates above 19 million cubic feet per day of natural gas with NGL rate at about 950 barrels per day per well. We also have a Dunvegan well that is currently producing 8 million cubic feet per day with natural gas -- of natural gas you should say and 170 barrels per day of field condensate. In our Clearwater resource play we saw impressive results from three wells during the quarter. one horizontal Basal Quartz well tested at 1,000 barrels per day of oil with a 0% water cut, another Basal Quartz horizontal well tested at 750 barrels per day of oil with roughly at 10% to 20% water cut. We also saw strong results from vertical kinetic well which tested 400 barrels per day of oil with 0% water cut. Also in Clearwater area, the transactions which was announced on Monday, we entered into an agreement with Manitok Energy Inc., whereby paid Manitok paid $60 million bonus for a least issuance on Encana’s free land and has agreed to perform a minimum annual growing commitment for each of the next three years which results in a total expenditure commitment of approximately $106 million at a minimum. Through this transaction Manitok has acquired interest in leases of roughly 97,000 net acres. As per the terms of the agreement, Encana will receive royalty payments on all oil and gas produced from these lands leased to Manitok. Those sizeable it’s written on in disagreement coverage less than 2% of our massive free land base. Moving south now to the San Juan Basin, our foremost recent wells, each had 30 day initial oil production rates between 400 barrels to 500 barrels per day. Oil cost continue to decrease in the play and our newer wells have been growing twice as fast as the original wells with some of the costs coming in under $4 million per well. We currently have 22 wells on production in the play. In the DJ Basin, we plan to add a fifth rig to our program during the fourth quarter which is consistent with our original plans for the year. The annualized production impact from our DJ Basin wells being shut in during the Colorado flooding is expected to be minimal at about 250 barrels per day of oil in NGLs. We’re still assessing the potential impact on the new wells that are scheduled to come out during the fourth quarter. Encana remains on track to deliver on our year end liquids exit rate to be in the range of about 70,000 barrels to 75,000 barrels per day, overall Encana is executing strong operationally and we continue to be very encouraged by the well result we’re seeing across the portfolio. Thank you for joining us, we’re now ready to answer your questions.
Operator: (Operator Instructions) We’ll now begin the Q&A session and go to the first caller. And our first question comes from Mark Polak with Scotia Bank, your line is open.
Mark Polak – Scotia Bank: Good morning. Just couple of quick questions. First, it looks like you guys did some land acquisitions both in the U.S. and Canada during the quarter, I’m wondering if you are able to shed any color on where the land was acquired?
Michael G. McAllister: In Canada, we’re adding to our Duvernay position. We’ve added primarily on lands which were already within our core area in the Duvernay. And in the U.S., it was – some lands that we added in the Piceance.
Mark Polak – Scotia Bank: Okay, thank you. And then, on terms of operating costs for liquids in the U.S., they came down quite a bit in the quarter. Just curious if there is anything unusual happening there or if that’s something more of a run rate we can expect going forward and part of that annual cost reduction that you’re targeting?
Michael G. McAllister: I think these would have been probably unit costs, and that’s with rate increases, you get the fixed cost distributed over a larger volume.
Mark Polak – Scotia Bank: Okay. Its look like even in aggregate, it got down slightly despite the other increase, so I was just kind of curious. And then, finally, just curious if you were able to update at all on where you are on well costs for both Duvernay and the Gordondale right now?
Michael G. McAllister: In both areas, costs are continuing to come down both in Gordondale and Duvernay. Of course in our Gordondale program, we are further into the commercialization of that, so the well costs are lower. But in Duvernay, we’re still doing a fair bit of science on the wells to have a clear line of sight to get into our goal of $12 million per well there.
Mark Polak – Scotia Bank: Okay, thank you.
Operator: Your next question comes from Greg Pardy with RBC Capital Markets, your line is open.
Greg M. Pardy – RBC Capital Markets: Yeah, thanks, good afternoon. Three questions from me, I guess the first one is, what would your current oil liquids production be running at, it’s question one. Second, I mean, the one thing we saw, I think in this quarter was a little bit of erosion in terms of just your oil and liquids realizations, I guess the question is do you think those are indicative of where you think margins are headed in 2014? And then the last question is, just on the marketing plan for Panuke gas, is there the ability to capture premium pricing on this gas in the Northeast market? Thanks very much.
Sherri A. Brillon: Well, the current liquids production is running at about 29,000 – okay, for natural gas like it was about 29,000 barrels a day, and for oil it was at about 29,000 barrels a day for a total of 58,000, so we haven’t really changed from what our average was for the quarter.
Greg M. Pardy – RBC Capital Markets: Okay, thanks Sherri.
Sherri A. Brillon: And then, on the price realization, I think what you’re seeing is that there has been some pressure relative to NGL prices through the year relative to WTI. They have weakened sort of all across the board; however, we believe propane and ethane have primarily found their floor. And secondly, in the third quarter, we really saw a higher level of ethane in our NGL mix, because the third party plants had really resolved their issues and they’re coming back online.
Greg M. Pardy – RBC Capital Markets: Okay. And as you look, I mean, it is gleaning a little bit into 2014, but just given where some of the growth is coming in plays and so forth, how do you, I mean, should we be sort of assuming the same kind of wide differential that we’re using for this year, do you think that starts to improve as we get into next year, just given the change in the mix?
Doug Suttles: Hi Greg, this is Doug. I think, if you kind of follow it from Mike’s comments, and as we look on how we’re growing from just short of 60,000 barrels of liquids to 75,000 to the end to the year, almost all of that’s oil or condensate. And I think that that’s probably more indicative as we look out to 2014, but it will be something we’ll address as we talk about strategy.
Michael G. McAllister: Greg, this Mike here. With respect to the Panuke gas pricing, yeah, we realized the Boston (inaudible) price there, so it’s actually trading under $2.70 over NYMEX, so it’s quite a nice premium there.
Greg M. Pardy – RBC Capital Markets: Okay. So that’s actually -- so that’s pretty much on the whole volumes coming out of Panuke?
Michael G. McAllister: That’s correct, yeah.
Greg M. Pardy – RBC Capital Markets: And the last one I’ll try and push a little bit, but so releasing before year end, can you be any more specific than that do you think?
Doug Suttles: I’m sorry Greg, what was the question again?
Greg M. Pardy – RBC Capital Markets: Just the timeline for the release of your strategic plan, I’m wondering if you can be any more specific in timeline?
Doug Suttles: No, I can’t at this point, but I can tell you we’re making great process, I would say, we’re ahead of our original plan, and as quickly as we can, we’ll get that announced.
Greg M. Pardy – RBC Capital Markets: Okay. Thanks a lot, Doug, thanks all.
Doug Suttles: You bet.
Operator: Next question comes from Mike Rimmel with Barclays, your line is open.
Mike Rimmel – Barclays Capital: Hi, thanks for taking my questions, two from me. Would you mind talking about any infrastructure constraints you guys may be facing going into the next year, particularly wondering about Peace River Arch and Big Horn areas? And then, the next one is, just wondering whether there are any updates on the TMS, I know you were in the middle of testing a couple of wells last quarter? And that’s it from me, thanks.
Michael G. McAllister: Hi it’s Mike McAllister here. Yeah, first on with respect to infrastructure constraints, we are actually in really good shape here in Bighorn. We have contracts to take all of our product out of that area with Pembina, so we’re feeling very confident with respect to that. Up in Peace River Arch, we actually again have, we’re in really good position. We have a line of sight to our growth out of the Peace River Arch with infrastructure actually that’s being built, and that’s in a pretty good shape here as well, and I think your third question was related to the TMS, and three of the last four wells are meeting or actually exceeding type curve. The other well, the fourth well if you will, below type curve but we understand why, and that’s specifically frac communication or interference that affected that. So, we understand what that issue is and ready to move forward.
Mike Rimmel –Barclays Capital: Great, thanks very much.
Operator: The next question comes from Sameer Uplenchwar with Global Hunter Securities, your line is open.
Sameer Uplenchwar - Global Hunter Securities: Good afternoon guys, congratulations on the strong quarter. Just wondering on the Gordondale wells, could you give me the split between oil and gas, it seems mostly oil from the release. And then, also curious on the Duvernay like when do we start seeing the liquids contribution from it, assume it’s in the other and emerging category for Canada and 3Q saw a nice uptick in the gas, but not liquids don’t know if this facility that’s you planned downtime. Also on the hedging was wondering whether you could give us more details on the basis hedges for AECO? Thanks.
Sherri A. Brillon: All right, your last question first and then Mike gather all the other pieces that you’re asking, its Sherri here. Around the AECO basis hedges, for 2013 between the hedges and transportation positions, we’ve about 50% of our Canadian volumes under agreement. And the price that they’re receiving is about 88% of NYMEX.
Sameer Uplenchwar - Global Hunter Securities: Awesome.
Michael G. McAllister: Hi, it’s Mike McAllister here. So with respect to these oil wells that we’re producing out of Gordondale so the well on a, well rate basis I mentioned actually over a 1,000 barrels per day. The gas rates I don’t have them at the top of my head, but I’m thinking kind of in the million per day range. But I’ll tell you what, why don’t we get back to you, we can give the exact GOR on those wells.
Sameer Uplenchwar - Global Hunter Securities: Okay.
Michael G. McAllister: With respect to the Duvernay, could you repeat the question, I just want to make sure I’m clear.
Sameer Uplenchwar - Global Hunter Securities: So I’m looking at the split and if you look at other and emerging gas quarter-over-quarter was – went from 5 to 32, Q2 versus Q3 on the other and emerging under the Canadian division results by resource play like that’s the table I’m looking at and then when you look at oil and NGL it just went down by, like 100 barrels. So I’m just wondering I’m getting Duvernay for all the other and emerging and when do we see that uplift, when does that gas, is it related to some infrastructure issues or something else?
Michael G. McAllister: So you’re talking about the Canadian division numbers as a whole then.
Sameer Uplenchwar - Global Hunter Securities: Yeah.
Michael G. McAllister: Okay. Yeah, so Duvernay will be under the emerging and it’s going to be still as an emerging play being evaluated, we’ve a crust line of taking that commercial, declaring it commercial and growing it into next year. Very encouraged on the well reserves that we saw in Simonette with over 1,000 barrels per day on our latest well, which still cleaning up I should mention. With respect to the volumes that you might seen coming down out of the existing commercial plays, in Gordondale we had shut in one of our pad wells, we had offset in frac operations and that might have been the numbers that you’re looking at there.
Sameer Uplenchwar - Global Hunter Securities: Thank you.
Doug Suttles: This is Doug, just to add one thing, I think that we’re obviously very encouraged per what we see in the Duvernay and one of the things we’re working on quite hard now is how quickly can we ramp that up, I think the current forecast isn’t fast enough and one of the areas of focus is, how do we make that faster and lot of that is finding a good midstream solution. So it’s a really tied up, lot of our strategy work right now.
Sameer Uplenchwar - Global Hunter Securities: Got it, thank you.
Operator: Your next question comes from Matt Portillo with Tudor, Pickering, Holt & Co., your line is open.
Matthew Portillo - Tudor, Pickering, Holt & Co.: Good afternoon, just a few quick questions from me. In terms of bank volumes are very significant rise quarter-over-quarter and I was hoping, I would just get a little bit of color what that was in relation to and potentially how we should think about that volume growth over the next year or so? And then, second question in regards to the Haynesville, we continue to see declines, I know you guys have ramped up the rig count fairly significantly and so wondering when we should start to see some of the completions and productions fall through for your Haynesville volumes.
Doug Suttles: Hi, Matt. Yes, so you saw -- that the ramp up you saw here at cut bank was related to a compressor station actually 9036 compressor station which came online and again well result there exceeding our expectations and I’ve talked about those in the past. With respect to the Haynesville, I think we’ve two wells of our current program online and we’re going to be completing those wells over the next, remaining wells over the next quarter and into the New Year. So we will be seeing those volumes with that at that time.
Matthew Portillo – Tudor, Pickering, Holt & Co.: Great. And then, just in regards to TMS, you mentioned that the curves are performing at kind of your expectation on three of the wells, could you remind us how you guys think about the EURs in the play and then what you need to see from here to progress that towards commercial development?
Doug Suttles: You know Matt well, well Mike grabbed some of the data, you know, I think the way we are thinking about the TMS is that, we really need to gain the confidence, we really need to move forward rapidly there which is around the type curve not only the early performance on the type curve which as Mike said, we are very encouraged but I would like to get a bit more time under our belt. The second thing is, we have a massive land position there, I think, over 300,000 acres and as we think about that play we need to actually make sure we are confident in the rocks across the play. And the last thing is confident that the costs are coming down, this will be a big focus in 2014 and I hope by the time we exit the year, we actually know the answers to those questions.
Michael G. McAllister: And just with respect to what we’re targeting approximately 600,000 barrels oil equivalent per well.
Matthew Portillo – Tudor, Pickering, Holt & Co.: Okay and just one clarification there, so as you guys think about the wells you’ve seen so far is, is the big takeaway that we should think about it effectively the initial production is meeting your curve expectation, but you’d like to see longer term data before gaining additional confidence in that kind of getting to that 600,000 curve?
Doug Suttles: Yes, absolutely with all of our plays, you see initial IPs very encouraging, but really we want to see sustained production performance and see how well it matches, what are resolute modeling telling us, so really need to see some history there to give us the confidence.
Matthew Portillo – Tudor, Pickering, Holt & Co.: Great. And last question from me, just in regards to the Duvernay, obviously very strong initial performance on some of the condensate production that’s coming out of the play, could you talk about a little bit about the yield, how that kind of transforms from initial production to kind of the 160 day rate and how you guys think about kind of the condensate yield over the life of the well and maybe where that trends to?
Doug Suttles: So again, with our expectations on say rich gas condensate type curve, we’ll see about -- we'll see about over the life of the well, but a 35% reduction in the condensate to gas ratio, if the results that we put -- we put out here, I was of thinking it’s been noted that the condensate to gas ratio came down on a rate of five well, that’s the result is that well is producing of casing 7058 inch casing right now. Now so we are thinking the wells is liquid loading to a certain extent, we’re running tubing and to see that condensate to gas ratio come back up.
Matthew Portillo – Tudor, Pickering, Holt & Co.: Thank you very much.
Operator: Your next question comes from Mike Dunn with First Energy, your line is open.
Michael Dunn – FirstEnergy Capital: Good morning or good afternoon everyone. Couple of questions one on the TMS one and the San Juan, on the TMS guys just wondering what your latest thinking is on completions in terms of I believe on the last call or earlier this year, you were talking about targeting completing it above the rubble zone and it seems like we have had maybe some mixed results above or maybe a couple of wells what might like they may have been better below the rubble zone, so just wondering if you are still confident in targeting above the rubble zone? And in the San Juan, you have mentioned 400 to 500 barrels a day, 30 day period there, how should we think about that relative to the targeted EUR you guys talk about the 550,000 BOE EUR, is that sort of above that or on trend with that EUR you talked about? Thank you.
Doug Suttles: Yes, I think Mike this is Doug, I think on the TMS, I think we would probably need to get you on that level of detail about the completion, I can tell you that the big focus there has actually been on changing the completion design itself, changing the frac design which clearly made a big improvement in the last few wells. But I would also caution that I don’t think we believe we’ve yet get the best formula and that will be part of the plan in 2014 and Mike if you want to pick on them San Juan well and --
Michael G. McAllister: So with the San Juan with the 400 to 500 barrel per day 30 day IP, we are still targeting and confident that we are going to get that 500,000 barrel oil equivalent EUR so yeah, that’s in line with our expectations.
Michael Dunn – FirstEnergy Capital: Okay, great. And just another San Juan question from me, what’s, is there pretty good infrastructure there for tying in these wells with bunch of legacy production in the area?
Doug Suttles: Yeah, I think there is, there is good infrastructure, I mean there’s a lot of history in that area, and lot infrastructure so I think we’re in pretty good shape there.
Michael G. McAllister: There’s also a local refinery which is taking the majority of the crude and I think we have a good solution once we fully fill up its capacity and how we get the volumes out of the area effectively.
Michael Dunn – FirstEnergy Capital: Okay, great. So if I think about you guys potentially ramping up development there further I shouldn’t be thinking about major, major infrastructure costs aside from your wells and maybe some batteries are there?
Michael G. McAllister: No, the infrastructures there that’s the beauty of the play.
Michael Dunn – FirstEnergy Capital: All right. Great, thanks, that’s all from me.
Operator: Next question comes from Brian Singer with Goldman Sachs, your line is open.
Brian Singer – Goldman Sachs: Thank you, good morning. I want to come back to Duvernay here, you talk about the strong rate from the 805 well as one of the 10 wells currently on production and then talked about the 931 as well. Can you just characterize the result in totality that you’ve seen among the 11 wells and how 805 and the 931 compared versus the average of the program, are you doing things different in these two wells that you expect to apply going forward as you think about accelerating?
Michael G. McAllister: Great question, Brian. It’s Mike here again. So what we’ve like, Doug was just talking about TMS we’re learning and applying technology to optimize our completion techniques and we did that in Duvernay, a classic result there. Originally, with hybrid fracs, cross linked gel fracs and have now to slick water fracs in two wells in 805 and 931 and that’s what you’re seeing there, that great well performance and we’re going with very high volumes slick waters on a per stage basis greater than 2,000 cubic meters and greater than a 100 tons per stage. So we think we’ve cracked the technical mode if you will, operationally to get these wells to perform and we have a lot of confident that we are going to be able to grow this play significantly going into the future.
Brian Singer – Goldman Sachs: Great and that has happened essentially without any change to your expectation for $12million costs, I think you have mentioned that earlier just trying to confirm?
Michael G. McAllister: Yeah, we will be moving from single well fair bit of science into pad drilling we’ve been able to replicate this, this model with the resource play hub across portfolio and now we’re very confident we’ll do that in the Duvernay.
Brian Singer – Goldman Sachs: Great and then, we see some turnover in the U.S. EMP leadership and your restructuring now has a more centralized versus geographical focus we’d see, was this done with a view that Encana should be less active in the U.S. going forward or with a view that Encana should acquire assets and people to ADUSF or just more the centralization?
Doug Suttles: Yes Brian, this is Doug. No, it isn’t any reflection about activity in one country or another it’s actually trying to make sure that we are optimizing how we deployed the company’s resources whether it’s people or capital. And I should say the structure underneath Mike is an asset based structure, we actually think that it’s optimal way to do ever the best performance. It’s not a functional structure, it’s actually an asset based structure. And in terms of, I don’t even think about this as centralization, having multiple divisions actually created duplication particularly in a number of the corporate functionaries and by actually going to this model we’ll be able to remove that, that duplication that exists there. So I think that, I don’t view it as centralization is more about real distinct clarity and running the portfolio as one business.
Brian Singer – Goldman Sachs: Yes, that’s helpful. If I could ask one last quick one on realized prices you’ve talked about bringing on, the way of oil coming towards the year end to get 70,000 to 75,000 what differential to NYMEX should we expect for the combination of oil and condensate that’s, that way that’ll be coming on November or year end?
Sherri A. Brillon: For oil it’s WTI minus 10, and for NGL it’s about 50% of WTI.
Brian Singer – Goldman Sachs: Great, thank you.
Operator: Next question comes from Bob Brackett with Bernstein, your line is open.
Bob Brackett – Sanford Bernstein: I had a couple of questions one on increased acquisition in the Piceance what’s the logic there, is it all related to your new JV or is it separate from that?
Doug Suttles: Yes Bob, this is Doug, I think what it is a big player in the area was that had a very, very sizeable position and what we think is high quality acreage at very low cost and that was the logic.
Bob Brackett – Sanford Bernstein: Okay. And are you -- that new core deal you had had a gas price floor under which the drilling consists, are you still drilling that JV or the economic is good given the carry with new core?
Michael G. McAllister: Yes, we are still drilling the JV and the economic are still very good.
Bob Brackett – Sanford Bernstein: And then, on the Haynesville, you talked earlier in a year about economics, the gas price you need to get excited in the Haynesville, can you give us a refresher on where you think the Haynesville can make money at what price Henry hub?
Doug Suttles: Yes Bob. This is Doug again, I think in our Haynesville program, we ramped up that this year we’re working to complete that program plus or minus end of the year, few other completions will carry in the next year. I think year-to-date the well performance and the cost performance has been a better than planned, I think the real question about price and forward investment in that program although it will be tied to, as we rollout our strategy and I’d like to hold that before that time if I could.
Bob Brackett – Sanford Bernstein: Okay. Thank you.
Operator: Your next question comes from [indiscernible] Capital Management, your line is open.
Unidentified Analyst: Good morning everyone, two questions the first is one the Duvernay, a lot of questions on it, I guess just understand next year, you’ve seen a number of companies shifting to pad drilling, first question is do you expect to shift drilling from pads or on pads in the play in 2014?
Michael G. McAllister: Yes, absolutely we’ll be drilling pads up in the Simonette area, was part of our play.
Unidentified Analyst: Thanks Mike and then the second one is on the San Juan, just to follow on from Mike’s question, you talked a lot about existing infrastructure, you led up, do you have a lot of existing wellbores, but you have mapped out the play and I guess what I’m trying to come at is, you’ve 900 locations you talk about in your representation, do you care to give an assessment of what would the risk from your perspective today?
Michael G. McAllister: I think on there, Chris we would probably be best to come back in and I think as we start to rollout our plans for the future, one of the things I think we need to do is help people better understand that play, we’re very pleased with the results from in it, if I could once again I would like to hold the answer on that one until then, but it is an area that’s had gas activity for many, many decades.
Unidentified Analyst: I guess it’s just the high level a lot of bypass pay well controlled is it fair?
Doug Suttles: I’m sorry, you could out on it, sir.
Unidentified Analyst: Oh sorry, I just had a high level, is there a lot of existing bypass pay well controlled?
Doug Suttles: Well, there’s a lot of well control in the area there’s a lot of web or penetrations in the area to help us define where we think the best part of that play, I think we have a real good handle on that.
Unidentified Analyst: Okay. Thanks Doug.
Operator: Your next question comes from john John Herrlin with Societe Generale, your line is open.
John Herrlin – Societe Generale: Yes hi, one more on the Duvernay and also the other place that have a fair amount of natural gas exposure, Mike you mentioned kind of takeaway capacity, what about processing for NGLs, do you have enough capacity to match your growth?
Michael G. McAllister: Yes, we do and we’ll continue to work on additional infrastructure and processing capacity, so we were confident we’ve got a clear line to say, to matching our growth with midstream capacity.
Doug Suttles: And John, I think that in the short term I think obviously we’re not going to like cap on drilling unless we have the capacity to produce it, but to achieve the growth we want to achieve and expect achieve and there we’ll have to build more midstream capacity and that’s currently a very, very big focus of ours and what’s the best way to actually do that. And I think you probably know, but one of the great things about that play is its one part of the world where condensate sells at a nice premium, WTI.
John Herrlin – Societe Generale: Right, I was just more concerned about the control of growth or suspend, which is where to address?
Doug Suttles: Yes.
John Herrlin – Societe Generale: Yes, that’s fine. What was your forecast ceiling cushion up in Canada, can you give that out for the quarter?
Sherri A. Brillon: I know, we don’t normally give that out, but it was with this, aren’t concerned about ceiling test issue.
John Herrlin – Societe Generale: Okay, cool. Thank you.
Operator: At this time we have completed the question-and-answer session and will turn the call back to Mr. McRitchie.
Ryder McRitchie: Thank you everyone for joining us today, please feel free to contact our Investors Relations team if you have any follow up questions, our conference call is now complete.
Operator: This concludes today’s conference call, you may now disconnect.